Roy Nir: Good afternoon, everyone, and welcome to Entravision's Fourth Quarter and Full Year 2025 Earnings Call. I'm Roy Nir, Vice President of Financial Reporting and Investor Relations. Joining me today to discuss our results are Michael Christenson, our Chief Executive Officer; and Mark Boelke, our Chief Financial Officer and Chief Operating Officer. Before we begin, I would like to inform you that this call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to Entravision's SEC filings for a list of risks and uncertainties that could impact actual results. The press release is available on the company's Investor Relations page and was filed with the SEC on Form 8-K. Additional information may also be found on our annual report on Form 10-K, which was also filed today. Our call today is using Zoom. If you'd like to ask a question, please use the Q&A function on the screen, during the call, indicate you name and company, and submit your question in writing. We will try to answer any questions that relate to the topics contained in today's call during the Q&A session. I will now turn the call over to Michael Christenson.
Michael Christenson: Thanks, Roy, and thank you to those of you joining this call today. We appreciate your interest and your support. As you saw in our press release, on a consolidated basis, Entravision increased revenue 26% to $134 million in 4Q '25 compared to 4Q '24. We had an operating loss of $21 million in 4Q '25 compared to an operating loss of $49 million in 4Q '24. The 4Q '25 operating loss included a $26 million noncash impairment charge. So we would have had an operating profit if we exclude that adjustment. But as we've said on prior calls, we're committed to growing our business and earning a profit. So we acknowledge that we have work to do to improve our operating performance and profitability, especially in our Media business. We report our results for 2 segments: Media and Advertising Technology & Services, what we call ATS. For our Media segment, our revenue declined 32% in 4Q '25 compared to 4Q '24. This decline was primarily due to lower political revenue. Excluding political revenue, our 4Q '25 results included a 4% increase in local advertising revenue and a 5% decrease in national advertising revenue. Our local operations had 3% lower monthly active advertisers, but this was offset by an 8% increase in revenue per monthly active advertiser. In terms of operating expenses and profitability, as we have discussed in the past, we made a number of important investments in our media business in 2025. We added capacity to our local sales teams, more sellers, and we added digital sales specialists and digital sales operations capabilities, more digital. When we analyzed our local markets and our local advertiser base, we saw an opportunity to increase revenue by adding sales capacity. In addition, virtually all our local advertising customers are advertising in digital channels, search, social, streaming video and streaming audio. And we believe we can serve their needs in digital channels as well as our traditional broadcast, video and audio channels. The increase in operating expenses in our Media segment for these investments is about $8 million on an annualized basis. However, we funded these investments in part by improving efficiency and reducing costs in nonrevenue-generating operations. So as you'll see, total operating expenses in our Media segment were actually 6% lower in 4Q '25 compared to 4Q '24. Since revenue was lower because we did not have political revenue, we did have an operating loss of $428,000 in 4Q '25 compared to an operating profit of $18.5 million in 4Q '24. For our Media segment, we have 2 additional initiatives underway to generate incremental revenue. First, in October of last year, we began broadcasting a new network that we call Altavision. Altavision is broadcast on our multicast capacity across all of our markets. We provide the broadcasting infrastructure and sales, and we also provide local news programming. The balance of the programming is provided by Grupo Multimedios of Monterrey, Mexico. And together, we share the revenue. The stations have been on the air since October, and we've been test marketing with local advertisers since the beginning of this year. In addition, on January 1, 2026, we launched new programming on our full power Orlando television station, WOTF-TV, in a partnership with Hemisphere Media. Hemisphere Media owns WAPA TV, the #1 television station in Puerto Rico. And together, we launched WAPA Orlando Channel 26 to serve the growing Puerto Rican, Caribbean, Central and South American Spanish-speaking communities in Central Florida. There are more than 500,000 Puerto Ricans in the Orlando market, and we are very excited about this new -- the new revenue potential for this business. Now for our Advertising Technology & Services segment. ATS revenue more than doubled in 4Q '25 compared to 4Q '24, and we had more customers and higher spend per customer. We've continued to invest in our ATS segment in 4Q '25 to grow revenue and operating profits. We invested in our engineering team to continue to improve our technology and to build more powerful AI capabilities into our platform. And we invested to increase the capacity of our sales organization and customer operations. In addition, our infrastructure costs, primarily cloud computing costs increased in 4Q '25 compared to 4Q '24 as our infrastructure costs will grow as our revenue grows. They're currently growing at about the same pace as revenue. But as the business gets larger, we expect to see some incremental operating leverage so that these costs will grow at a slower pace than revenue. But the combination of our investments, investments in increased operating expenses, that's the direct operating expenses plus selling, general and administrative expenses were $6.5 million higher in 4Q '25 compared to 4Q '24. That's $26 million higher on an annualized basis. The operating profit for ATS was $12 million in 4Q '25 compared to an operating profit of $2 million in 4Q '24. In our ATS segment, this week, we announced an acquisition. We acquired the technology, platform and product IP of Playback Rewards. Playback Rewards is a reward and loyalty platform. For the past year, we have been developing our own reward platform, but this acquisition presented an opportunity to accelerate our entry into this market with a more robust platform. So to summarize, in Media, we're investing to increase our local sales capacity and to expand our digital sales and digital sales operations capabilities. Again, more sellers and more digital. And in ATS, we're investing to add more engineers to advance our technology and to increase our sales capacity, more technology, better technology and more sellers. We believe these investments will help us build a stronger company. So now I'll ask Mark to share with you more details of our financial results for 4Q '25 and the full year 2025. Mark?
Mark Boelke: Thank you, Mike. I'll start by reviewing the performance of each of our 2 reporting segments, again, Media and Advertising Technology & Services. In our Media segment, fourth quarter revenue was $45.8 million, which was down 32% compared to fourth quarter 2024. Full year 2025 revenue was $176.7 million, down 20% compared to full year 2024. As we've noted on previous calls, our Media business began slowly in 2025, in part due to advertiser uncertainty in the environment of a new administration and federal immigration enforcement actions. In addition, there was significant political advertising in 2024 that was not present in 2025. However, we've seen sequential quarterly improvements in revenue as we move through 2025, particularly in local ad sales, and we're seeing momentum and progress in the execution of our revenue strategies. One of our goals is to optimize our organizational structure and the expense of support services in order to align them with revenue and to be profitable in each segment as well as on a consolidated basis. Let's look at total operating expense for the Media business, again, meaning the sum of direct operating expense and selling, general and administrative expense, or SG&A, as those 2 line items are reported in our segment results. Media segment total operating expense in the fourth quarter decreased $2.5 million compared to fourth quarter '24, a decrease of 6%. Operating expense was flat for full year 2025 compared to full year 2024. Starting in Q3 '25, we have taken steps under an ongoing organizational design plan intended to support revenue growth and reduce expenses in our Media segment. Key components of this plan included a reduction in Q3 and Q4 of approximately 5% of the Media segment's total workforce, primarily in back-office roles, and we abandoned several leased facilities with impacted employees transitioning to remote work. We expect these changes to reduce media operating expense by approximately $5 million on an annual basis, and we recorded charges during third and fourth quarter totaling $2.8 million for the expenses associated with these moves. And these charges were reported as restructuring costs on our income statement. The Media segment had an operating loss of $0.4 million in Q4 '25 compared to operating profit of $18.5 million in Q4 '24. The decrease was mainly due to political advertising revenue in Q4 '24 that was not present in Q4 '25. We continue to evaluate the organizational structure of our Media business in order to provide compelling content, drive sales, streamline our organization and optimize expense. And the Media segment operating loss improved significantly from third quarter to fourth quarter '25. Now let's turn to our Ad Tech & Services segment, or ATS. Fourth quarter revenue for the ATS business was $88.6 million. This was an increase of 123% compared to fourth quarter '24 and a sequential increase of 16% from third quarter to fourth quarter '25. Full year 2025 revenue was $270.9 million, an increase of 90% year-over-year compared to full year 2024. As the year progressed through the fourth quarter, we had a higher number of monthly active accounts and higher revenue per monthly active account. As discussed on previous calls, we have had success executing our strategies in the ATS business during 2025, including expanding the sales team and geographic sales coverage and strengthening our AI capabilities and platform technology. ATS total operating expenses increased by 48% in the fourth quarter '25 compared to Q4 '24, an increase of $6.5 million. Operating expenses increased by 54% in full year '25 compared to full year '24. The ATS expense increase was primarily related to the increase in revenue. For example, as Mike mentioned, the expense of cloud computing services has increased as a result of processing more transactions and using stronger AI capabilities built into our ad tech platform. There was an increase in sales commissions and performance compensation as a result of the revenue increase and achievement of other performance metrics. And the ATS business has also hired additional sales, engineering and ad operations staff in recent quarters in order to drive ATS growth and expand into new geographic areas. ATS operating profit was $12.3 million in Q4 '25. This was an increase of 464% versus Q4 '24 and a sequential increase of 26% from the prior quarter, Q3 '25. Operating profit for full year 2025 was $33.8 million, an increase of 317% versus full year 2024. Our goal for the ATS business is to continue to grow revenue and generate positive operating leverage and the ATS revenue increase exceeded the expense increase in terms of percentage and absolute dollars. Combining our 2 operating segments, on a consolidated basis, revenue for fourth quarter '25 was $134.4 million, up 26% compared to fourth quarter '24. Full year 2025 revenue was $447.6 million, up 23% compared to full year '24. The 2 segments together generated a consolidated segment operating profit of $11.9 million in Q4 '25 and $27.6 million for full year '25, a decrease of 43% and 41% compared to the respective prior periods. The decrease was a result of decreasing -- I'm sorry, was a result of decreased operating profit in the Media segment, primarily due to political revenue in 2024 that was not present in 2025, partially offset by increased operating profit in the ATS segment. We had a consolidated operating loss of $20.7 million in Q4 '25 compared to a loss of $48.6 million in Q4 '24. Our consolidated operating loss included a noncash impairment charge of $26 million related to certain FCC licenses. Without this noncash impairment charge, we would have had an operating profit of over $5 million in Q4 '25. Full year 2025 operating loss was $83.4 million versus $52 million for full year 2024, with the increase primarily due to a loss on lease abandonment related to our corporate headquarters and restructuring charges related primarily to our Media segment. Again, our goal is to be profitable for each segment and generate a consolidated operating profit. We have additional work to do, particularly in the Media business, and we remain focused on growing revenue and reducing operating expense throughout 2026 and beyond. Looking at corporate expenses, we have taken significant steps to reduce these expenses over the past few years. Corporate expenses in fourth quarter '25 were $6.5 million, a 13% decrease compared to fourth quarter '24 or about $1 million. The decrease was primarily due to expense reductions in rent and professional services. For full year 2025, we reduced corporate expenses by $10.5 million compared to full year '24, a 28% decrease year-over-year. Going back 1 year further for additional context, corporate expense in 2025 was almost half of the amount of corporate expense in 2023. Entravision's balance sheet remains strong with over $63 million in cash and marketable securities at year-end. We're proud of our strong balance sheet, which we believe sets us apart from others in the industry. In 2025, we made total debt payments of $20 million, reducing our credit facility indebtedness to about $168 million as of year-end. We entered into an amendment to our credit facility in Q3 as previously reported. The amendment was a proactive and strategic move to accelerate debt reduction and provide more financial stability and flexibility under our credit agreement. In addition, we paid $4.6 million in dividends to stockholders in the fourth quarter or $0.05 per share and a total of $18 million for full year 2025 or $0.20 per share. For the first quarter of 2026, our Board of Directors has approved a $0.05 dividend per share payable on March 31 to stockholders of record as of March 17 for a total payment of approximately $4.6 million. Our strategy regarding allocation of cash is, first, reduce debt and maintain low leverage; and second, return capital to our shareholders, primarily through dividends. We look at capital allocation on a 2-year basis to take into account cyclical political advertising that occurs every other year. During the past 2 years, 2024 and 2025, we had about $85 million of net cash provided by operating activities. During this 2-year period, we used about $76 million of that $85 million to pay down debt and pay a shareholder dividend. That's $40 million used to reduce debt and $36 million used to pay dividends to shareholders. 2025 was not a political year, so we did not have meaningful political revenue last year, but we have now entered another political advertising election year here in 2026. We'd like to thank you for joining our call today. We welcome our investors to connect with us through the Investor Relations page on our corporate website, entravision.com, where you will have access to a transcript of this call, the press release containing our fourth quarter and full year financial results and a copy of our annual report filed with the SEC on Form 10-K. At this time, Mike and I would like to open the call for questions from the investment community. Roy, I'll turn it back over to you.
Roy Nir: Thank you, Mark. [Operator Instructions] The first question is regarding the outlook for political revenue in 2026. Mike, do you want to address that?
Michael Christenson: Yes. So as of today, we are 243 days away from election day 2026. And as you can see in the news, primaries are underway across the country. I think we're very well positioned for a strong political spending environment in 2026. As we've said on prior calls, we believe the Latino vote will be critical to the outcome of the congressional elections in all -- in our 6 Southwestern states. The Cook Political Report lists the 35 closest races of the 435 congressional races, and we are fortunate to have 11 of those 35 in our markets. We also have the important Texas U.S. Senate race, which is, again, getting a lot of press. And then finally, we have governors' races in California, Colorado, Nevada, New Mexico and Texas. So we're very well positioned. And what I would say is, which we've also said on past calls, we believe the Latino vote will be critical to the outcome of these elections. Studies have shown that Latinos are the most persuadable segment of the electorate, and we have a powerful channel for reaching that audience. And what we will say to make it very clear, what we say to everyone, we can get to listen to our pitch, you must win the Latino vote to win your election. And if you want to win the Latino vote, you should double or triple your allocation to Spanish language media. So again, we're very optimistic about how we're positioned for 2026.
Roy Nir: Thank you, Mike. We received another question related to the status of renewing the affiliation agreement with TU. Can you provide an update on that?
Michael Christenson: Sure. Not much to update since our last call, what we said last time, and it's still the case today. The affiliation agreement with TelevisaUnivision runs through December 31, '26. We've been partners for 3 decades, and our plan is to renew this agreement. So we expect to renew this agreement. But that's all I can say at this point.
Roy Nir: Thank you, Mike. Please hold as we review additional questions. Thank you, everyone, for joining us today. Mike, I'll turn it back to you for closing remarks.
Michael Christenson: At this point, we'll say thanks, Roy, and thank you again to all of you who are joining our call today. We look forward to speaking with you again when we report our 2026 first quarter results. Thank you very much.